Operator: Good afternoon, ladies and gentlemen, and welcome to Vermillion’s Third Quarter 2019 Conference Call. My name is Stacy, and I will be your coordinator for the call today. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded today. Leading the call today are Valerie Palmieri, President and Chief Executive Officer; Bob Beechey, Chief Financial Officer; and Chris Goulart, Senior Vice President of Commercial Operations. After the prepared remarks, we will open the call for Q&A. Before we begin, I would like to remind everyone that statements made during this call, including the Q&A session, relating to Vermillion’s expected future performance, future business prospects or future events or plans are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, actual outcomes and results are subject to risks and uncertainties and could differ materially from these anticipated due to the impact of many factors beyond the control of Vermillion. The company assumes no obligation to update or supplement any forward-looking statements, whether as a result of new information, future events or otherwise. Participants are directed to the cautionary notes set forth in today’s press release, as well as the risk factors set forth in Vermillion’s annual report and second quarter 10-Q filed with the SEC for factors that could cause actual results to differ materially for those anticipated in the forward-looking statements. At this time, I would like to turn the call over to Valerie Palmieri, President and Chief Executive Officer. Valerie?
Valerie Palmieri: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. This afternoon, we will review our third quarter accomplishments, financial performance, as well as provide updates on our fourth quarter developments and plans. Our core mission is to transform the state of women’s health globally starting with ovarian cancer. We aim to ensure that women of all ages, stages and necessities have the best solutions available to assess their personalized risk of cancer, especially at the early stage when it matters most. 39 women die in the U.S. daily and over 400 women daily worldwide of ovarian cancer, truly a tragedy. We are working very hard to change these statistics now. We had four major goals for the quarter. Number 1, continuing commercial momentum with OVA1Plus, with all leading indicators pointing to a vast improvement year-over-year. Number 2, three earned media publications of our CA125 disparity data with the core focus on improving the detection of ovarian cancer in African American women, a much-needed improvement as socioeconomic variables already give these women inferior changes to survive. Number 3, progress on the pipeline, specifically our serial monitoring Watch and Wait product. This product has a total available market of 0.5 million to 1 million women who have monitored 2x to 4x per year. This products value proposition has the opportunity to have even greater clinical and economic impact as only one in 10 masses result in cancer. And the goal is to find the patients that can actively be managed without surgery.  And lastly, updating our payer dossier with the CA125 disparity data and hitting the annual cycle review for managed care and medical society reviews. Chris will cover Vermillion’s commercial momentum in detail, but I just want to summarize the impact of our investment in commercialization. We have had three consecutive quarters of strong growth. In Q1, our volume of OVA1 grew 27% year-over-year; in Q2, it grew 66% year-over-year; and in Q3, we are posting growth of 82% year-over-year; and in Q4, we expect to continue to grow and we have even surpassed the Quest volumes per day with 20 reps having six months in the field. Our prior guidance for Q4 2019, via our 8-K on October 15 was 95% growth year-over-year. We are actually going to increase that to north of a 100% growth year-over-year. Truly an accomplishment, which we believe is directly due to the centralized adoption of our second-generation technology OVERA as part of OVA1plus, our patient transparency program and payer traction. I am now moving on to earned media. I’m happy to report that our two clinical publications highlighting the disparity of ovarian cancer risk assessment in African American women between OVA1 and CA125, as well as ROMA have earned significant media results. The earned media coverage began with the Medscape article in July, a Reuters Health article in September and in the last two weeks, National Ovarian Cancer Coalition and BlackDoctor.org, both released publications. The number of subscribers we touched are estimated to be 3.6 million, 55 million, 1.5 million, and 19 million respectively, not including social media. We have a few other media outlets in the queue as well. We are just beginning to spread the news and we are fast tracking the large African American study, which is being led by Albert Einstein medical college in Philadelphia as well. We will be involving patients shortly and we are also launching the study as six additional health care systems in key academic sites that have significant interest in exploring and correcting the disparities in ovarian cancer detection in African American women. More to come as things progress. I would also like to report some updates on the international front. On the global front, out outcome study in the Philippines is going very well. This 380 patients’ study is in its 26th month, and we anticipate this study of data’s collection to be completed by June 2020 with a full study completed in January 2021. This is the first study to review the long-term clinical outcomes of our OVA Technology to truly see the impact it can make. Regarding Israel, I recently met with the studies principle investigator, who is the head of G1 oncology at one of the hospitals in Israel, the largest healthcare system clearly. This study in 240 patients is in its 14th month and Clalit is looking to add additional sites to the study, as well as expanded to include our third-generation technology. In Israel, there is a sizeable need to proactively manage patients at high risk for ovarian cancer, which includes family history, genetic predisposition and adnexal mass, as one in 40 women carry a BRCA variant, which carries up to a 60% life time risk of ovarian cancer. We are very pleased with the progress on both studies.  To recap, we are in the early innings of fully commercializing OVA1Plus in the U.S. with our organic sales force. Our second-generation technology coupled with our data on disparities demonstrating superior performance of ovarian cancer detection in African American women is beginning to be impactful. Our end goal is to become the standard of care risk assessment tool for all predominant ethnicities globally. We believe 2019 is a major inflection point for Vermillion with increased commercialization of our new second generation product, increased media coverage of our disparity data, portfolio expansion and continued traction on payer adoption. At this point, I would like to turn the call over to Chris, to share our commercialization results for the third quarter. Chris?
Chris Goulart : Thank you, Valerie. I’m pleased to provide an update on our commercial effort. We believe our two-prolonged approach with the decentralized platform channel and the direct sales channel is the right strategy to drive adoption. The decentralized arrangement should help to drive tested option, as well as integrate into the care pathway of the respected institutions in super groups. We will continue to work on this model as we seek to drive wider adoption of OVA1Plus and our war expanded portfolio. Moving on to our direct sales channel. Our sales force is another quarter further entrenched in their respective territory. I am pleased to report that OVA1Plus continues to gain traction in the marketplace. In Q3, this fully stacked salesforce made considerable gains with 15% volume growth of test performed over Q2, and 82% growth year-over-year. We continue to see strong growth in Q4 2019 as well. As you are aware, the summer month generally see a drop off due to summer vocation. October 2019 continue to gain momentum with 28% month-over-month growth versus September. And in October, we are north of 100% year-over-year growth. We expect to see continued growth from our direct sales channel as new accounts are being opened on a daily basis. Our physician addition continues to grow as they did in Q2. We ended Q2 with an average of 728 physicians ordering per month. During Q3, that comparable number was 808, representing a roughly 11% increase. We continue to add new physicians in the total of ordering physicians and October was 983. October was so high watermark for the year. In Q3, we are adding a total of 541 first time attending physicians, which shows that we continue to add new customers. We continue to improve our KOL network in our territory. We have 40 active KOLs. This KOL network mostly comprised of gynecologic oncologists, has been extremely receptive to our OVA1Plus test. OVA1Plus launched in Q4 2018 and has been largely driven the interest of our KOL community. We feel at this point, we have a couple KOLs per territory is the correct number and we will add KOLs now on a case-by-case basis. We have also expanded our visibility and footprint at local and national conferences. This year, we have attended in presenting at national conferences such as ACOG and SGO. We have also began attending and presenting at many more regional conferences such as: ACOG District Meeting, the U.S. women's health alliance biannual meeting, overcoming cancer, multiple local OB/GYN society meetings and Omnia Meeting. We feel that expanding wrap, KOLs in conference attendance and participation is a three-pronged approach to increase awareness and adoption of OVA1Plus. Now, I would like to give more updates on our new product in future product introduction. Number one, as we talked about on our last call over 20% of all ovarian cancers are due to a genetic predisposition. The hereditary breast and ovarian cancer panel currently is operating in a standalone fashion. We plan to begin incorporating hereditary breast and ovarian cancer on to our OVA1Plus reports in the coming quarters. Furthermore, we believe that we can refine the risk assessment for Ovarian cancer by incorporating HBOC into the calculation. We plan to commence studies in 2020 to prove this theory. Moving on to our OVA portfolio. Last call, we talked about the solution for suspected benign pelvic mass patients, who are in surveillance and are not planned for surgery based on clinical assessment and imaging assessments. Today, approximately 0.5 million to 1 million women in the U.S. have a pelvic mass, which is either monitored for a period of time prior to surgery or the patient does not move forward with surgery. We have developed an algorithm based on 7 protein markers with rule out and rule in algorithm. We plan to commence further studies on serial Watch and Wait patients. Typically, this cohort is monitored 2 times to 4 times a year with ultrasound and CA125 off label, which could significantly add to the total available market opportunity per year. Early indications from our single used validation of the assay has demonstrated increased sensitivity and specificity for OVA1Plus. Keep in mind, this test will be used for different population and will compliment OVA1Plus. Due to this product now being launched as a serial monitoring test, we need to perform the perspective serial monitoring study to take advantage of this new market opportunity. Hence, we will wait to launch this application after our 2020 study. In terms of publications on the third-generation product, our abstract was presented last week at the European Society of Gynaecologic Oncology, in Greece, and we have recently submitted a retrospective 596 patient study on this new product. More to come on the results of the study one published. I would also like to talk about another indication for this new algorithm. We will also be commencing several studies in 2020 to interrogate the HBOC-positive asymptomatic population. The current standard of care utilizes CA125 and a transvaginal ultrasound to monitor these patients every six months for the ACOG guidelines. We believe that our 7-protein biomarker capital demonstrates sensitivity and specificity within this cohort. Even though, this would be tailored to a focused population, we plan to start more population-based studies once we demonstrate proof of concept in the HBOC positive cohort.  And lastly, we are in the planning stages of a large global study to apply a multi-factorial assessment of evaluating protein inherited DNA variances, expression profiling, and small fragmented DNA from developing tumors all associated with ovarian cancer in a single sampling method. The goal of this study is to build a more precise molecular profile of ovarian cancer development and risk in asymptomatic woman as an early screening measurement for breast and ovarian cancer risk. More to come as we get the study underway.  I would like to turn the call over to Bob for our review of our financial results. Bob?
Bob Beechey: Thank you, Chris. Let me first state our team is very disappointed with the performance of our stock this year. I would like to hit three major issues upfront, specifically our cash burn, our stock price, and our NASDAQ delisting notice. In terms of cash utilization, we have eliminated the one-time expenses of the second quarter and improved gross sales efficiency.  The company utilized approximately 3.381 million in cash in the third quarter of 2019 as compared to 3.8 million in the second quarter. The cash utilization for the third quarter includes approximately $200,000 of investments and start-up costs for the launch of the genetics offering. This cost consists primarily of personnel IT setup cost as well as legal fees.  Cash and cash equivalents at September 30, 2019 were 14.6 million as the commercial team continues to gain traction and as we launched new products, we expect our cash utilization to decline as our sales increased and we get returns on the investments we are making. Our focus is to impact the stock price through continued growth and the related compression in cash utilization. We are also driving stock value by building awareness. We are actively performing non-deal roadshows and participating in conferences to educate potential investors on the opportunity facing the company. Our team is committed to driving shareholder value and we believe stock price will reflect that over time as we continue to deliver growth. Regarding our NASDAQ delisting risk, we received the deficiency letter on August 2 from NASDAQ, noting the closing bid price for Vermillion common stock was below the minimum $1 per share requirement for continued inclusion on the NASDAQ. As provided in NASDAQ rules, we have 180 calendar days or until January 29, 2020 regain compliance. We may achieve compliance during this period of the closing bid price of Vermillion’s common stock as it leads $1 per share for a minimum of 10 consecutive business days. If we fail to regain compliance on or prior to January 22, 2020 we may be eligible for an additional 180 calendar day compliance period. We are seeking to cure this deficiency to improve fundamentals in the coming quarters. We are taking a number of actions to enhance profitability. Consistent with our core strategy of focusing on early ovarian cancer detection, we are exiting our IVD business. Our offering is too narrow and the business would require a significant investment to expand the offering. We are no longer accepting any new assignments in the IVD business and will finalize all IVD contractual customer commitments in the fourth quarter. Our IVD operations have generally had negative margins. Specifically, IVD work resulted in a year-to-date negative margin of 493,000 through September 30, 2019. We will be reporting the businesses discontinued operations in our year-end financials. More important than eliminating the margin drag, the shifting away from IVD work will enable our management team to focus exclusively on growing the ovarian business. Turning to our financial results. Product revenue in the third quarter of 2019 was 1.24 million, a 68% increase from 2018. Revenue on a per test performed basis was $345 in the third quarter of 2019, a modest sequential decline as compared to $352 in the second quarter 2019. The decrease was driven by an increase in our mix of patient pay revenue in specific geography. We have seen the percentage of patient pays stabilize and level off over the last few months. In the third quarter, the percentage of patient pay was 41%. Client bill was 8%. Medicare and Medicare advantage was 17% and all commercial insurers 34%. The patient mix is a bridging strategy as we drug more payer positive policy and contracting. The key here is utilization.  The number of OVA1 test performed during the third quarter of 2019 increased 82% to 3,602 units compared to 1,981 units in the third quarter of 2018. Our gross profit for OVA1 in the third quarter was 53%, compared to 36% in the prior year, and 45% in the second quarter of 2019. Gross profit or product revenue was 653,000 for the third quarter 2019, compared to 263,000 for the same period in 2018, a 50% increase in the rate and a more than doubling in absolute value. We expect the gross margin to continue to expand as we ramp up volume and achieve scale. We have the adequate capacity to scale up to meet demand to support significant growth with little or minimal fixed or semi-variable cost added. We do not expect to need any facility or equipment expansions in the near future. Total operating expenses for the third quarter of 2019 were 4.186 million, compared to 4.539 million in the preceding quarter. The sequential decline from the second quarter of 356,000 was primarily a function of the absence of the one-time non-recurring cost noted in the second quarter. I would like to reiterate our confidence that we will continue to compress our cash utilization and that our team is committed to achieving cash flow breakeven and ultimately meaningful profitability. I’ll now turn it to Valerie.
Valerie Palmieri: Thank you, Bob. Before we open the call for Q&A, let me reiterate our optimism for building the company for sustainable growth, leveraging our infrastructure and driving profitability. We are also executing quickly on product development for our larger mission, which is to serve the 20 million women in the U.S. with pelvic masses. Starting with ovarian cancer risk assessment, serial public mass monitoring, and eventually tackling the largest disease endometriosis. Keep in mind, the HBOC monitoring market is incremental to this market and this product will be for women with and without a mass. Ovarian cancer accounts for more death than any other cancer of the female reproductive system. And is the only gender specific cancer with greater than 50% mortality rate. Our work on products are at the forefront of changing the standards of care, a detection of ovarian malignancies. We believe we are helping close the gap and detection and more importantly improve survival for women. For Q3, we set out with four major goals. Number 1, continued commercial momentum with OVA1Plus with all leading indicators improving vastly year-over-year. Number 2, earned media of our CA125 disparity data. Number 3, building a pipeline portfolio, which includes a platform to expand in a decentralized fashion. And Number 4, lastly driving payer adoption as we have quite a few items in the queue. We have accomplished all four. In terms of 2020 guidance, we are focused on four key objectives. Number 1, building upon our unit ramps and revenue ramps with driving awareness of our second-generation technology and new disparity data. Number 2, innovation with evidence development of our third-generation algorithm for our Watch and Wait product, HBOC monitoring, and overworked 360 screening studies. Very large market opportunities. Number three, leveraging our overall infrastructure to drive profitability. And lastly, continued financial discipline to get to cash flow positive. In the near term, we believe OVA1Plus coupled with our new disparity data and genetics will become the standard of care in public mass risk assessment for ovarian cancer. For the longer term, we believe over 360, including genetics and proteins and other modalities will be the state-of-the-art risk assessment for gynecologic disease, which cannot be assessed via traditional biopsy. In time, our goal is to become the liquid biopsy standard for these diseases inclusive of all ages, stages, and ethnicities. It is now time that all women of every socioeconomic background we see the best possible care, and we are proud and excited to make that happen. We are now happy to open up the call for Q&A and answer any of your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from [Carter Worth]. Please go ahead.
Unidentified Analyst: Thank you. Appreciate all the efforts. Two questions if you would be so kind. With your current cash position and your operational trajectory, do you anticipate the need to raise capital again?
Valerie Palmieri: Thank you, Carter. Thank you for attending and thank you for the question. I would say that where we are right now in terms of growing our top line and improving our bottom line that is not in our foreseeable future. We are continuing to make headway with utilization as you see and we’ve actually increased our guidance for Q4. So, that is our plan.
Unidentified Analyst: Okay. And then you mentioned breakeven. If you are able to say or when would you anticipate as close as you can bring that might occur and what assumptions are implicit in the answer?
Valerie Palmieri: Sure. Well, I think two things. One is that, we’re on a ramp or six months in the field with the current sales force in terms of having two quarters of education and experience. So, October is actually, the ramp in October has been greater than we anticipated. So, I would say that in terms of breakeven, a lot of that again goes back to top line and bottom line. We want to get into the ZIP Code of, if you, kind of, just do the run rates on where we are in October, and you kind of say, where are we right now run rate wise?  Let’s just say, we’re in that 16,000 range or so, 16,000, 17,000 range, we want to get closer to the 20 to 25 to breakeven, but that also is, I would say affected by also the GenetiX. Keep in mind GenetiX is accretive to our business in a sense of we’re at the same call point and our end goal is to get our customers to order both OVA and GenetiX. So, GenetiX could actually quicken the breakeven. With OVA1 only, it is in that zip code directionally.
Unidentified Analyst: Understood. Thank you for all the answers.
Valerie Palmieri: Thank you, Carter.
Operator: Our next question comes from [Greg Bennett]. Please go ahead.
Unidentified Analyst: Looks like looks like you guys are doing a lot better, I’m trying to understand is it 25,000 test of OVA1 per month to breakeven?
Valerie Palmieri: No. So, we want to get to an annualized basis of the 20 to 25, somewhere in that zip code also depends on our price. So, we are directionally shooting for and if it is OVA1 only, again probably closer to the 25, we add in GenetiX, it helps us tremendously. So, that’s directionally where we are aiming for.
Unidentified Analyst: And I'm starting to remember, the run rate that you were in October, that you announced in your script of remarks was – what was it, 6,000?
Valerie Palmieri: No, we actually – in our run rate in October, so we did two things. On October 15, we said that we were actually running – Q3, we did 82% year-over-year and October was 95% and that was by the middle of October. Now, we are considerably north of 100%. So, while this was driven by, we are still in an active, I would say fast growing process. So, I do think that sometimes Q4 tends to be with deductibles and things people tend to go to the doctors more. So, it could be a function of seasonality as well. But heading north of 100%.
Unidentified Analyst: Yes. I don’t want percent, what was the number? You said the breakeven cash flow you need 20,000 annual [indiscernible]?
Valerie Palmieri: We need 20,000 to 25,000. Closer to 25,000, it is OVA1 only. If we add in GenetiX it is going to be higher. I mean lower. The number was lower.
Unidentified Analyst: The number of OVA1 test that you did in October were how many?
Valerie Palmieri: We didn't state the actual number. [Greg], we just basically gave a direction in terms of growth. So, if you look at…
Unidentified Analyst: What was the number in September?
Valerie Palmieri: So, what I can do this, I can tell you what the number of OVA1 test we did last October to give you a sense. So, the number of OVA1 tests we did last October was [689]. And the number that we did in September – 689, yes.
Unidentified Analyst: And the number that you did this past September was how many?
Valerie Palmieri: We haven't broken it out by months, but I will tell you that for the quarter is 3,602 and for the month we are looking at 1,187 for the month of September.
Unidentified Analyst: Okay. So, September you had a run rate of roughly 12,000, a little bit over 13,000 this year on an annualized basis?
Valerie Palmieri: Yes.
Unidentified Analyst: So, you need 100% growth or you are going to run out of cash? [Indiscernible] 
Valerie Palmieri: Yes. Right now, we are on a run rate of 16,000 let's just say, our annual run rate and we want to get depending on the mixed of GenetiX and OVA that will, we will get to breakeven. So, if we get more GenetiX that OVA number can be lower. If we do not get, we are currently just, we just started marketing GenetiX in Q3. So, but if you just get OVA1 only than that number is closer to 25,000 and just to give you a, if you kind of say okay, what does that look like per quarter, you’re looking at – if you kind of say we have four even quarters, you are looking at about 6,000 a quarter or so. So, yes, we are doing. It is – when we got to continue the growth trajectory, but we are right now in the zip code of about 16,000 right now.
Unidentified Analyst: Okay. So, you need to continue the percentage growth rate. If you continue that in the next year you might make it?
Valerie Palmieri: Yes.?
Unidentified Analyst: Is there any other competitor out there that’s offering something similar? What does the landscape look like?
Valerie Palmieri: No. So, the landscape just to give you some background, so there is two competitive products CA125, which is a standard which we are replacing, the 40-year-old standard, and then as another competitive product, which is called ROMA. And ROMA is very similar to CA125 and then for tumor market. So, it really does not perform much differently in CA125, and picks up later stage and also picks up more epithelial cancers then non-epithelial cancers, which impact non-implication women. So, really in terms of competition, it’s really CA125, AROMA has very little market, it’s extremely small. So, it’s really building awareness is really our key goal in making people aware that there is a better test.
Unidentified Analyst: So, on previous calls in the past or previous press release there have always been talk about China getting insurance coverage for the test, is this test now covered by all insurance companies? 
Valerie Palmieri: Yes. So, we have about 51% of that population, 167 million lives covered, and we want to get to the mark of about 200 million. So, that is something that we’re actively pursuing, but we have about 167 million lives covered, right now. So, it is, we’ve made considerable headway in terms of the last 24 months.
Operator: Thank you, Valerie. There are no further questions at this time.
Valerie Palmieri: Okay. Thank you, Stacy. In closing, we now have a strong commercial foundation in place and we are very excited about our future. With a sizable commercial footprint, our guideline endorsed differentiated test, a complementary portfolio of test within the same call point and over 50% of the live under coverage, we believe we are in the position to support continued growth and profitability. Our end goal is to serve a large global pelvic mass population in overall women’s health market with a platform coupled with proprietary science and data tools which will drive better health and well-being to each patient we serve. Thank you for joining us today and thank you for your support and interest in Vermillion.
Operator: This concludes today's conference. Thank you for your participation.